Virginia Spring: Good morning to our Australian participants, and good afternoon and evening for those joining us from the Northern Hemisphere. My name is Virginia Spring, and I am responsible for Investor Relations at the Redbubble Group. With me today, I have the Redbubble Group CEO and Managing Director, Martin Hosking and CFO, Rob Doyle. Martin and Rob will provide an overview of our FY '23 results shortly, and we will then open up the lines for questions. The key information for today's call is contained in the ASX announcement and investor presentation released to the market this morning. I would like to call your attention to the safe harbor statement in our ASX release regarding forward-looking information. That safe harbor statement also applies to this investor call. This session is being recorded, and a transcript will be released to the ASX. I will now pass over to Martin.
Martin Hosking: Thank you, Virginia, and hello to everyone joining us today. I'd like to start by formally welcoming Rob Doyle, the group's CFO, as this is his first Redbubble Group investor call. Rob has been a great addition to the leadership team and has already started to make a valuable contribution to the group. I look forward to introducing him to many of you over the next few weeks. It is also my first results call since being appointed Group CEO. I'm delighted to be back and really excited to share the group's key achievements this year, many of which were in progress before I returned. Starting on Slide 2 with an overview of our results. We have amplified our fourth quarter results on this slide as these highlight the substantial improvement we have made to our financial position over the year and provide a better picture of where the group is headed than our full year results. In January, prior to me being appointed group CEO, the group announced that due to challenging market conditions and a weaker holiday period than expected they needed to scale back investments and improve margins and ultimately return to positive underlying cash flow. This was the right call. And as I said on my first day back, my primary objective was to achieve this goal. I'm pleased with the progress that the group has made. Last month, in July, we achieved neutral underlying cash flow, a particularly strong result, given July is a seasonally lower revenue month. For context, last July, our underlying cash flow was negative $5 million. This turnaround is a result of improvements in unit economics and positions the group well for the future. In the fourth quarter, our gross profit after paid acquisition margin or GPAPA margin was 28.5%, 350 basis points above the group's historical average and 550 basis points up on the prior corresponding period. This significant step-up reflects the implementation of a number of initiatives across the group, which I'll provide further detail on. Given our focus on maximizing GPAPA, our marketplace revenue decreased as we traded off some volume for margin. In a tough consumer landscape, we believe this is the right approach as it maximizes profitability. During the second half, we implemented a number of cost-saving measures, which together reduced operating expenditure by $45 million on an annualized basis. While we started to see the benefit of these cost savings in the third and fourth quarter, we are now seeing the major impact. We have started the new financial year on a stable footing, and I'm confident the group will build on this position in FY '24. Before we move into the highlights of this financial year, I wanted to take a moment and share some findings from an operational review I have undertaken. First and foremost, I want to emphasize that this process reinforced my view that the group consists of 2 well-established marketplaces, Redbubble and TeePublic with strong unit economics. Both marketplaces can and should operate profitably. However, in recent years, we have not made the most of these 2 assets. And if we could have our time again, there are things we should have done differently. While I was not CEO of the group, when these mistakes were made, I was a director and share some of the accountability. When the group acquired TeePublic, we were not clear on how TeePublic and Redbubble would operate together. In many respects and certainly aided by the same name, the Redbubble marketplace had acted like a group entity and TeePublic's relationship with it had not been formalized. While there has been some sharing of ideas and resources across the 2 marketplaces, this has been at a hack. To address this, we have truly structured the organization to more clearly define the group and the 2 operating companies, TeePublic and Redbubble. The new structure will enable each marketplace to focus on their strengths and value propositions while leveraging the group's expertise and resources. We are planning on changing the name of the group at the upcoming AGM in October. At the beginning of FY '23, we announced that we were stepping up our investment across the group. We had expected consumer demand to plateau at the higher levels observed during the pandemic and aligned our cost base with this expected reality. We also launched a brand awareness project. Unfortunately, as demand declined, this led to cost running ahead of revenues. In January, after seeing consumer demand weaken through the holiday period, the group took action to right size the cost base. We took further steps in May. Combined these efforts and reduced the cost base by approximately $45 million. And finally, there were too many initiatives that were being attempted concurrently to improve the Redbubble marketplace. Teams were competing for resources and ultimately getting in each other's way. To address this, we have refocused the team on clear priorities where we have high confidence around their GPAPA and revenue growth potential. Pleasingly, you can already see the fruit from a number of these initiatives. I'm confident that we have now established a foundation for a return to profitable growth. I'd like to begin our operational highlights by providing an overview of our 2 marketplaces. Ensuring investors have better visibility of both marketplaces, and particularly TeePublic, is something we intend to do going forward. Redbubble remains the larger of the 2 marketplaces with approximately 650,000 artists settling at least 1 product last year. 5 million customers bought a product from an artist on Redbubble during the period. A new metric we're showing this year is designed and sold during the period, which refers to the designs that are associated with at least 1 product sale. Historically, during the marketplace's early years when we were looking to scale, having a growing content library was a key competitive element to the marketplace. Now that we have reached a significant scale, we are less focused on quantity but more on quality, which is why we have updated this metric. 4.8 million designs were sold during the period, which means we remain a long-tail business with many customers buying something [Audio Gap] customer bought. Redbubble's target market is a highly attractive Gen Z households, 12- to 25-year-old and their parents. The group acquired TeePublic in 2018. Since then, its marketplace revenue has grown with a CAGR of 36% and now represents 38% of total group revenue. It is a smaller marketplace in Redbubble and in many ways, is more focused. It has a very clear target market, Gen Y, 26 to 40-year-old and its revenue is highly concentrated around apparel sales to U.S. customers. We believe TeePublic's clear focus has assisted the impressive growth trajectory, something we want to continue to support as we move forward and as I have previously highlighted, a good lesson for the Redbubble marketplace. On the next slide, Slide 6, we provided an overview of the group's global reach. Our global community of third-party fulfillers is a key strategic asset for the group. Currently, 32 fulfillers participate in our marketplace and the print products at 50 different fulfillment sites around the world. While the Redbubble and TeePublic networks are not integrated, we have been able to take advantage of the combined scale of both marketplaces through favorable pricing and other cost savings. Going forward, we intend to continue to invest in the network, not only for the benefits of artists and their customers, but also as a potential option we may leverage in other ways as part of the wider group strategy. For our marketplaces to be successful long term, the flywheel must be operating efficiently. As the operator of the marketplace, our role is to attend the marketplace to make sure it stays in balance, which will benefit all participants. As I mentioned, we have narrowed our focus this year to a small number of priorities that will drive profitable growth. This is done by improving the flywheel through more relevant content, a better consumer experience and higher margins, ultimately increasing sales for artists. I'll now discuss these 3 elements. In February, we flagged that we had put in place measures to reduce the amount of non-additive content being uploaded to the Redbubble marketplace following the surge in low-quality content uploads during the pandemic. This content was not unique or creative and given the volume, it negatively impacted customers' overall experience and that of the more established artists. We've added additional measures during the second half of the year to further address this issue. These included, among many other things, adding friction to the artist sign-up process. Now before a new artist content becomes discoverable on the marketplace, the artist's account must be reviewed by human eyes. This has enabled us to reduce bad actors' content from ever appearing in the marketplace. We've also introduced artists to account tiers and associated fees for some accounts. This initiative was designed to encourage the uploading of additive content to the marketplace and recognize and reward artists to invest time creating unique products that their customers love. Signals generated from account activity are used to continually and automatically evaluate accounts. Account activities like uploading new designs, adding social links or reaching a sales threshold can prompt a tier review. The introduction of account tiers is driving positive behaviors on the marketplace, which led to 12,000 accounts being upgraded from standard to premium in the first 2 months after the program was rolled out. The combined impact of these initiatives on the marketplace is highlighted by the graph on the right side of this slide. The blue line depicts content being uploaded onto the marketplace. As you can see, it has dramatically come down since the beginning of the calendar year. It is now in line with historical averages. There is still lots of new content coming on to the site every day. But importantly, the quality of the content has improved with 40% of the content being generated by pro and premium accounts. In addition to improving the quality of the content uploaded through the marketplace, we've made a number of other improvements to customer experience. Ensuring customers are able to find the content that appeals to them is vital for the flywheel to effectively operate. We are increasingly using AI to improve the overall customer experience, in particular, how our marketplaces connect artists' unique products with demand from their customers. We are currently using AI to detect highly similar content that previously evaded our duplicate detection technology and to preempt customer search terms. It also enables us to service previously undiscovered content. This is important to ensure new artists can establish themselves and so that returning customers to see fresh content from the vast content library. We are continuing to test other uses of AI and expect to further leverage this technology. Through recent site-wide experiments, we have found that AI is particularly useful for long-tail searches, when a user enters 3 or more words into the search bar. We're also using this technology in our proactive measures to find and remove unwanted content from our marketplaces. Upgrades to search and discovery are in production to capitalize on this learning, and we expect this upgrade to be live on the marketplaces by end of the calendar year. We also increased the website speed and upgraded the more frequently visited pages during the financial year. This has a benefit not only for artists and their customers, but for organic search ranking. To track the success of these initiatives, we measure search engagement. As you can see on this graph, search engagement has been trending up with a significant uptick in the last quarter of the financial year. To ensure that flywheel operates efficiently, we've also been focused on optimizing the supply chain. In March, we launched a dynamic order routing system or DORS in the U.S. for the Redbubble marketplace. For each order, the system automatically selects the lowest cost fulfillment and shipping option that will reach the customer by the promised delivery date. The system also provides greater transparency to fulfillers about how orders are routed based on their speed, product quality and cost. This has led some fulfillers reducing their pricing to increase the amount of volume that our platform software routes to their sites. In addition, fulfillers can choose to opt in to promotions on the Redbubble marketplace. A number of fulfillers reduced their pricing during sales, resulting in a higher proportion of order volume being directed to their sites. Turning to TeePublic on Slide 11. As I mentioned earlier, since acquisition, TeePublic has had very good marketplace revenue growth. Like the Redbubble marketplace, since the start of the calendar year, we have been focused on how to improve TeePublic's margins even if it slows down top line growth. Pleasingly, in the second half, TeePublic's revenue continued to grow, but this was outpaced by both gross profit and GPAPA growth. This has been achieved through a number of enhancements across the flywheel. We have been attracting new customers through search engine optimization and driving growth in customer retention through the use of more targeted marketing campaigns. We've also been optimizing how the third-party supply chain functions, which has allowed order volume to be routed to more cost-effective fulfillers and swapping blank products with cheaper options where possible without compromising quality. We have also introduced artist account tiers on the TeePublic marketplace in the second half of the financial year. Although the content was similar to the initiative that was implemented on the Redbubble marketplace, there are subtle differences as each marketplace has implemented a version that is best suited to itself. Finally, before I hand over to Rob, I want to touch on some of our ESG highlights for the year. Since its inception, social good and business success have gone hand in hand. This includes supporting artists and their customers, dealing fairly and ethically with fulfillers, caring for our employees, addressing our environmental impact and generating long-term shareholder value. Artists earned $85.9 million on our marketplaces this financial year. We're also committed to ensuring that fulfillers who participate in our marketplaces treat their staff well, which includes compensating their employees fairly and providing a safe work environment. [47 of 50] fulfillment sites where RBL and TeePublic artists' products are manufactured have been independently audited by a third-party auditor with the remaining 3 sites to be audited in the next month. More than half of the auditor sites received a score of above 85% and 11 sites achieved perfect scores. We're also delivering on our commitments to employees around equity and inclusion. This year, we became a signatory of the United Nations Women Empowerment Principles. We've also maintained a 0 gender-based salary discrepancy and the percentage of women in senior leadership positions across the group increased to 44%. On the environment side, we invested in climate neutral brand emissions estimate tool to measure Scope 1, 2 and 3 emissions across the group. Understanding our emissions is the first step as we move towards our net 0 2025 goal. I'm proud that we have offset 100% delivery emissions across the group through our investment in the Brazilian rainforest program developed according to the United Nations REDD framework. We have also reduced the Redbubble marketplace's product defect rate by 15 basis points this year to 0.62%. This is a material gain that reduces waste, lowers product costs and means that more of the artists' customers receive products that they were happy with. I'll now hand over to Rob to take you through the financials.
Robert Doyle: Thanks, Martin. Firstly, I'd just like to say how pleased I am to be here today. I've thoroughly enjoyed getting up to speed on the business and contributing to all that's been achieved in the relatively short period since I joined. I'm confident that it's just the beginning, and I'm excited about what's next. Starting with a summary of the group's profit and loss statement on Slide 14. As Martin mentioned, since the beginning of the financial year, the group has been focused on maximizing absolute GPAPA. As part of this, we've been more disciplined with promotional activities, which contributed to a lower NPR. The absolute revenue generated from repeat customers has increased. However, this was not enough to offset a decline in revenue from new customers. Attracting new customers to our marketplaces has been difficult for the group. In particular, customer demand in our largest market, the U.S., softened during the year. In the first half, revenue from the U.S. was up 4% compared to the PCP. In the second half, it was down 9%. Gross profit for FY '23 full year was also down 5%. However, it was up slightly for the fourth quarter with a 4 percentage point improvement in GP margin as we began to see the benefits of a number of the initiatives Martin flagged. Fees from our artists on the Redbubble marketplace are reflected in gross profit as a reduction to the artist expense. In the 2 months since launch, we collected $1.7 million in artist fees on the Redbubble marketplace. We saw a 17% decline in paid acquisition expense during the fourth quarter as we adjusted our off-site promotions to focus on more profitable products. In the fourth quarter, we started to see the benefits of the cost reduction initiatives we announced during the second half. The full benefit will be realized from the start of FY '24. FY '23 costs include 2 significant one-off items being redundancy costs of GBP 4.2 million within staff expenses and a GBP 2.8 million write-off of capitalized development assets in other expenses. Both of these occurred in the second half. On Slide 15, we've highlighted the combined effect of the initiatives Martin spoke to earlier on the group's GPAPA margin. Our GPAPA margin for the fourth quarter was 28.5%. This is in line with our fourth quarter margin in FY '19 and 350 basis points above our historical average. 2/3 of this benefit has been driven by improvements to gross profit, increases to product base prices, optimization of the supply chain and the introduction of artist account categories and the associated changes in artist earnings. The other 1/3 of the uplift was due to reduction in paid spend. During the year, we've spent a considerable amount improving our data to understand the profitability of each product in each region. As a result, we are able to be much more strategic in which products are being promoted to drive sales of more profitable products for artists. As I mentioned, in the second half of the year, we implemented a number of cost-saving measures to right size our cost base. The savings identified fall into 3 categories, cost of doing business, brand and people. To lower the cost of doing business, the senior team reviewed all contracts in place to see whether the terms could be renegotiated or the contract terminated. This led to significant cost savings across the business with notable reductions in the cost of website hosting and software. In January, the group announced that the brand awareness project will be suspended as the group no longer expected it to deliver a commensurate financial return. The group had planned to invest between $9 million and $13 million in this project in FY '23. Martin and I have also reviewed this project since joining the group in March and agreed terminating the project with the right call. Finally, we had to make a number of difficult decisions related to our people. This is never easy and was certainly not something I wanted to do as the incoming CFO, but it [Audio Gap] done to get the business back onto a stable footing. We've removed 141 roles or 37% of the group's workforce. Through this process, we sought to retain sufficient capability to deliver our priority initiatives, achieve a return to growth and position the group for long-term success. Collectively, these reductions have lowered the group's cost base by around $45 million on an annualized basis. On Slide 17, we've highlighted our closing cash balance for the last 5 financial years. While there's no hiding from the significant amount of cash usage over the past few years, we're pleased that we ended FY '23 with our cash balance above FY '19. As I've highlighted, we've taken significant steps in the second half of the financial year to right size our cost base to rectify this issue. The business now has the right foundations to deliver sustainably positive underlying cash flow. This metric is a proxy for the group's cash position, adjusted for timing and is calculated as operating EBITDA less payments for capitalized development costs, leases and PPE. This year, capitalized development costs, leases and PPE were approximately $16 million. Going forward, for FY '24, we expect them to be around $10 million in total, with the year-on-year reduction driven by reduced capitalized development costs. Sustainable means we want to achieve this on an annual basis. Clearly, the seasonality of the business and the consequent working capital movements mean that there will be certain months when positive underlying cash flow will not be achieved. However, when we report our FY '24 full year results, underlying cash flow is expected to be positive. Our initial target was to put in place the right measures to set the business up to achieve this for calendar year 2024. We now expect the business to deliver positive underlying cash flow sooner in FY '24. Achieving neutral underlying cash flow in July, a seasonally lower revenue month, indicates that we are on track to deliver this. I will now hand you back to Martin.
Martin Hosking: Thank you, Rob. I would like to reinforce the progress that we have made since January to return the group to a stable foundation. Since being appointed CEO, I have undertaken a detailed review of the business and taken immediate action where necessary. We have rightsized the cost base while maintaining sufficient resources to deliver priority initiatives and provide for future growth. Unit economics remain strong, and the focus we have had on driving margin improvement will continue. There is still more work to be done. I'm pleased that we are starting FY '24 on a stable footing and committed to building on the momentum generated since I returned. Finally, our guidance for FY '24. The group expects trading conditions to remain soft in its key markets, particularly in the U.S. in the near term. In this environment, we remain focused on optimizing COGS, promotions and paid marketing activities to maximize GPAPA. The group expects its FY '24 GPAPA margin to be between 23% and 26%. The group expects to see the full benefit of cost saving measures implemented in FY '23 and FY '24. As a result, combined with continued focus on strong cost discipline, it expects its FY '24 operating expenditure to be between $92 million and $100 million. After achieving neutrality underlying cash flow in July 2023, the group is aiming to deliver a positive underlying cash flow for FY '24. Thank you for joining us today. We are now happy to take any questions you may have.
Operator: [Operator Instructions] And the first question comes from Tim Piper with UBS.
Tim Piper: Just a couple of quick ones. Firstly, on the OpEx side of things, obviously, a very substantial reduction there. I mean headcount reduction of 37% that you've found extremely quickly in the business. It sort of begs the question what these people were doing. But aside from that, how do we think about the sustainability of this OpEx reduction? Is it a matter of retained cash and balance sheet now and then reinvest in headcount over the medium term? Or what do you sort of see as a sustainable headcount size of this business going forward?
Robert Doyle: Yes, I can take that first one, Tim. Thanks for the question. Look, we -- this wasn't a slash-and-burn exercise. It was a very forensic review of every area of the business. And as Martin alluded to in his commentary, we prioritized hard around the things that we feel are going to make a difference. And I think that focus is actually a positive aspect to the business going forward. So we certainly feel that we've got enough resources in the right places to deliver on those priority initiatives. Over time, obviously, we'll continue to review what's required. But I think the key message really is that we haven't gone beyond what we think is a sustainable level for the business, and we've got the right resources in place to deliver on the things that are really important over the next period.
Tim Piper: Okay. And just on the GPAPA margin guidance for FY '24. Just looking at the fourth quarter, gross profit margin of 43% and GPAPA over 28.5%. Obviously, I think the artist fees kicked in in May. So what you had 2 months impact out of the 3 there. So there's an annualization higher in that. Just questions around, I guess, why you're only seeing 23% to 26% in FY '24, given where the fourth quarter came in.
Robert Doyle: Yes. No, that's right. I mean the guidance we've given is obviously lower than the Q4 result that came in. Just with the seasonality of the business, the first half margin is generally lower, and that's really due to the more intensive promotional activity, particularly during the holiday period. As you can see, the guidance of 23% to 26% is consistent with the historical average of around 25% that's in the slide in the deck. We're not providing guidance beyond FY '24 around GPAPA margin, but obviously, that remains a key focus for the group and very pleasing to see the impact of some of the things that we've put into place during particularly in the second half of FY '23 flowing through.
Tim Piper: Great. And just a high-level question. I mean at the level of spend, promotional activity, paid acquisition costs to deliver that kind of GPAPA margin outside of the slightly soft economic environment you're seeing, is that enough investment to turn the top line back into growth, do you think?
Robert Doyle: Yes, we think so. There's obviously a continuous process of improvement and optimization in that space, and it's a competitive environment, but we certainly feel like we've got the right sort of capability and the right spend levels going in to deliver that going forward.
Martin Hosking: It is -- sorry, Martin here. It is worth noting that, as I mentioned, TeePublic is already seeing growth through the first -- second half of the year. And so that's providing key lessons on how we can drive profitable growth in both marketplaces.
Tim Piper: Any sense you can give us on when you think the Redbubble platform will turn to growth from a top line point of view?
Martin Hosking: We're not giving indications on that at this point. My immediate focus had been on delivering the return to neutral positive underlying cash flow. And that remains our objective, and that's what we achieved earlier than anticipated. I am now though, turning my attention to what's occurring within the Redbubble marketplace. And I did highlight a number of initiatives, which we expect to have impact over the coming period. We are drawing from, as I mentioned, though, the lessons at TeePublic. And so there is an expectation of that return to growth, but we're not providing a forecast on that at this point.
Tim Piper: Got it. And if I'm going to squeeze 1 more in just around the artist fees that you've introduced from May onwards. Is there any sense you can give us in terms of churn in the artists space since introducing that? I mean, clearly, you've provided some details around the content momentum from the premium artists. But in terms of other artists that have churned off the program since then, has that been a material number?
Robert Doyle: No. I'll give a simple answer to that. No, and primarily because it's a very much a positive for the premium and pro artists and so it's reduced churn amongst some key artists which we care about. And amongst the other artists who have been below the premium, pro tiers the churn is negligible.
Martin Hosking: And actually, Tim, what we've seen, as you saw in the presentation, is a significant movement from that lower tier into the premium and pro tiers. So it is driving the right behavior with the standard tier artists in terms of engaging more proactively and more fully with the marketplace, which is actually what we wanted this change to drive.
Tim Piper: And sorry, you had -- sorry, it says on the slide 12,000 accounts were upgraded from standard to premium since launch. So you launched in May and then over those 2 months, you've seen a transition from originally more standard accounts being classified into premium accounts. And then secondly, you kind of commented that there's a bit of -- it seems like there's been headcount associated with classifying and reviewing these accounts. How much of the cost is involved in consistently reviewing the accounts to ensure the correct classifications, et cetera?
Robert Doyle: I'm not sure we're going to break out the cost at that level. It's not a material cost, Tim. There's obviously some automated processes involved as well, but there is some human interaction there as well, just the initial setup stage, but it's not a significant cost element.
Tim Piper: Great. I'll leave it there. Well done on getting back to cash flow breakeven in July.
Robert Doyle: Thanks, Tim.
Operator: [Operator Instructions] And the next question comes from Owen Humphries with Canaccord.
Owen Humphries: I've got two questions. Maybe the first one is targeted at Martin. So a lot has changed since you were back at the helm. I'd be interested in your views to see how much of the impact, particularly in the U.S. as of late has been driven by a cyclical versus a perceived structural impact on your business. [indiscernible] generative AI.
Martin Hosking: Yes. Sorry, generative AI I'm not 100% sure I've got the question on, but let me answer the question I think I heard. The cyclical impact on the business, both the -- both marketplaces has been significant and primarily as we've come off the COVID highs. So we had been -- obviously, both marketplaces had really benefited from the COVID. And as we've come off that, that's sort of a systemic change, which I commented on. So that's been the overwhelming impact on both marketplaces, which -- a new reality, which they've had to adjust to. Was that your question?
Owen Humphries: Well, yes, the part of the question there is just since you've come back, you guys were obviously a leader in the field. It was a new platform, but the world is, I guess, moving on, more competition, I'll be interested in your views of is there any structural impacts in your business in your perception now coming back as being CEO?
Martin Hosking: Yes, Owen, thank you for that. I think you mentioned generative AI. We have seen that for us, AI is a net benefit. Artists are using AI to generate art and then changing it and transforming it as they've always used the latest tools. We're not seeing -- there's not been a rapid uptake at this point of the use of AI simply to generate images by consumers that then get printed. We are, of course, clearly looking at that, and we have the potential to participate in that market if it becomes necessary through the group structure, which I put in place. We have seen some structural changes in the overall landscape. But I do think that, in particular, the rise of the creator economy overall, which is forecast to continue to grow in double digits for the next period of time is a phenomenon which we take advantage of. So the things which I'm looking at, in particular, are the rise of new channels such as TikTok, where both marketplaces can take advantage of those. And I think also the increasing interest in the artists becoming more like entrepreneurs is also a phenomenon which we can take advantage of. Historically, they've been more passive. Now they're more prepared to promote themselves through the new channels. And so that's a phenomenon which we can take advantage of. So overall, is while there's challenges in it, there's also good grounds for optimism. It's not just a game about Google as it was in the past.
Owen Humphries: Good one. And a question here just on TeePublic revenues now, call it, $190-odd million. Can you guys give an indication of the margin profile of that business versus the Redbubble business?
Robert Doyle: Yes. We're not going to break that down at this stage. And I think one of the things we'll look at for FY '24 is segment reporting. So off the back of the changes that we've implemented to the group structure, I think that we believe will lead to probably some more disclosure around that. But it's not something we're going to go into in detail at this stage.
Owen Humphries: And at that stage, would they be run as separate entities?
Robert Doyle: Well, they pretty much are anyway. I think what Martin alluded to was just this sort of clarity around the group, if you like, the corporate element of the group versus the 2 operating companies. So we've done some work to sort of clarify that internally. And that, I think, will naturally sort of lead to a change to how we look at the segments for external reporting, but that would be an FY '24 piece of work.
Operator: [Operator Instructions] It appears we have no further questions at this time. So this will conclude our question-and-answer session. I'll turn the conference back over to Mr. Hosking for any closing remarks.
Martin Hosking: Well, thank you, everybody. Thank you for your participation and thank you to all investors. If you have further questions, follow-up on the investment materials, which you've received, please follow up with Virginia Spring. Thank you.